Operator: Welcome to the AG Mortgage Investment Trust Second Quarter 2015 Earnings Call. My name is Eric and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Karen Werbel. Karen, you may begin.
Karen Werbel: Thanks, Eric. Good morning, everyone. We appreciate you joining us for today’s conference call to review AG Mortgage Investment Trust’s second quarter 2015 results and recent developments. Joining me on today’s call are David Roberts, our Chief Executive Officer; Jonathan Lieberman, our Chief Investment Officer; and Brian Sigman, our Chief Financial Officer. Before we begin, I would like to review our Safe Harbor statement. Today’s conference call and corresponding slide presentation contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All such statements are intended to be subject to the protection provided by the Reform Act. Statements regarding the following subjects are forward-looking statements by their nature: our business and investment strategy, market trends and risks, assumptions regarding interest rates and prepayments, changes in the yield curve and changes in government programs or regulations affecting our business. The company’s actual results may differ materially from those projected due to the impact of many factors beyond its control. All forward-looking statements included in this conference call and the slide presentation, are based on our beliefs and expectations as of today, August 6, 2015. Please note that information reported on today’s call speaks only as of today. And therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. Additional information concerning the factors that could cause actual results to differ materially from those contained in the forward-looking statements are included in the Risk Factors section of the company’s periodic reports filed with the Securities and Exchange Commission. Copies of the reports are available on the SEC’s website at www.sec.gov. Finally, we disclaim any obligation to update our forward-looking statements, unless required by law.
David Roberts: Thank you, Karen. It’s David Roberts. Good morning, everyone. In the second quarter of 2015, interest rates were volatile and higher. This had a negative impact on the value of our agency MBS portfolio. Our credit book, however, was stable and helped to mute the agency performance. Core earnings for the quarter approximated our dividend, which was $0.60 per share for the eighth consecutive quarter. Consistent with our business plan, our allocation to non-agency securities and value-added assets increased and we continue to leverage Angelo, Gordon’s multidiscipline investment platform. We continue to evaluate many opportunities from MITT sourced through the broader Angelo, Gordon network. These opportunities include both single asset investments as well as platforms focused on real estate-related asset classes. We are pleased also to announce that a wholly-owned subsidiary of MITT became a member of the FHLB of Cincinnati. Through the FHLB membership, MITT will benefit from having greater financial flexibility and enhanced liquidity management. With that, I will turn things over to Jonathan Lieberman, President and Chief Investment Officer of AG Mortgage Investment Trust.
Jonathan Lieberman: Thank you, David. Good morning all of them. For the second quarter of 2015, capital markets proved challenging for investors to successfully navigate and hold on to favorable returns. The combination of global interest rate volatility, geopolitical instability, the renewed sell-off in commodities and the Greek debt crisis once again reemerging caused most capital markets to under-perform relative to their fundamentals. Modestly improved, but somewhat inconsistent U.S. economic data and lower-than-expected worldwide growth coupled with valuation concerns exacerbated investor uneasiness with capital markets. The combination of interest rate volatility that carried into the second quarter played pockets of the agency MBS sector. But unlike Q1 where the underperformance was not driven by concerns over increased prepayments that mostly affected our inverse IO and IO books, rather this was really a pure volatility of rates driven event and also concern over the increased supply due to positive housing seasonals that left underlying agency pass-throughs to bear the brunt of underperformance. On the credit side, credit RMBS, CMBS and ABS spreads were modestly wider. Trading volumes were rather light. CMBS and ABS struggled with heavy new issuance calendars. Volatility was increased just slightly in the mortgage credit markets. However, we do not think this is attributable to any change in the fundamental collateral performance. Delinquencies have declined and other remittance data has largely been range bound for some time. Despite the volatility higher rates resulted in greater confidence in prepayments fees as the MBA refinance index fell 35% during the second quarter. The backdrop of slower and more stable prepayments and a continued lack of supply in this sector should help mortgages ultimately find spread stability and realize their income profile. So moving on, with respect to MITT’s asset and financial performance, we distributed our eighth consecutive quarterly dividend of $0.60. MITT has paid cumulative dividends of $2.40 for shareholders over the past consecutive 12 months, while retaining the $1.40 to $1.73 of un-distributable – undistributed taxable income for potential future distributions. The investment team continues to execute on several key metrics such as lowering our overall exposure to agency MBS and increasing investments in granular idiosyncratic credit. An additional highlight is noted in Slide 7 and as David mentioned that we are very pleased to announce our acceptance of our fully owned subsidiary, MITT into the Federal Home Loan Bank of Cincinnati. Brian will expand upon our acceptance further in his discussion. MITT continues to benefit from Angelo, Gordon’s multidiscipline platform adding, sourcing and investment capacity in non-agency RMBS, ABS, CMBS and CRE. Our asset manager, Angelo, Gordon allows us to have access to a large team of talented professionals relative to our overall equity base. We were able to leverage the AG platform to participate along with other AG bonds in two term securitizations of non-performing mortgage loans in May and July. In each instance the securitized bonds – securitized NPLs with fixed rate debt in which the senior bonds were sold to third party investors while MITT and AG funds retained the lower credit tranches. With respect to our financial performance, MITT reported a negative $0.05 net income and core earnings of $0.65. The decrease in net income from last quarter was primarily due to volatility attributable to the agency mortgage basis. Throughout the quarter, the agency mortgage basis widened down materially. Core earnings included a positive $0.04 retrospective adjustment due to quarter-over-quarter increases in interest rates. Book value declined modestly to $19.21, which represents a decrease of $0.66 netted for the impact of our dividend paid to shareholders on July 31. As I mentioned the largest component of the decrease in book value was attributable to the decline in market value of our agency and derivative book. The aggregate size of our book decreased modestly from the prior quarter at approximately $3.2 billion as a result of our continued rotation into less levered credit assets, a reduction in our TBA exposure and organic amortization of our agency assets. Our hedge ratio stood at 84% of our overall agency RMBS repo notional and 47% of our financing. The cost of prepayment rate for agency book increased to 11.4% due to a moderate increase in prepayment speeds that is consistent with seasonality, the collateral agent curve and the overall smaller agency portfolio. Leverage declined to 3.64 times, down from 3.97 times last quarter. Net interest margin decreased 2.86 due to the removal of treasury loan positions and the addition of treasury short positions which increased our cost of hedging, a component of our cost of funds. Slide 8 of our deck sets out our 2015 outlook. The generally encouraging recovery in the second quarter supports Fed Chairman – the Chairwoman Yellen’s consistent message that the economy is making slow, but steady progress and if sustained, will be ready for gentle policy rate adjustment sometime in the latter half of this year. Whether the Fed opts to lift rates in September, December or sometime in 2016, we ultimately expect Fed funds to remain below 2% over the next several years. As the front end rates is higher, we see few signs of inflation and have positioned the portfolio and our hedges to maintain a biased or flatter curve in the coming years. With respect to the overall market landscape, it remains positive for investing in the residential mortgage loans and non-agency RMBS. Housing fundamentals remain in line with our forecast and consumer health is steadily improving. We believe that mortgage credit is loosening and older housing stock along with legacy mortgage loans will continue to benefit from credit expansion. Greater credit availability should increase prepayment activity in our legacy non-agency mortgages and translate into higher prepayments for non-agency down the road. Home prices remain firm in most markets and appraisals for stressed legacy loans have thus far proven in line with our investment expectations. Moving on to our portfolio, Slide 9 details some of our top level sector metrics from the quarter. The fair value of our agency and credit book was approximately $1.6 billion and $1.6 billion respectively. Focusing first on our agency MBS portfolio, capital allocated to agency MBS declined as we exited positions in agency, TBA reduced for agency derivative positions modestly and experienced organic amortization of our agency hold on pools. This is consistent with our objective to reduce overall exposure to the mortgage basis and investing more stable credit positions. From a prepayment perspective, our pools continue to perform in line with our expectations with Q2 CPR of 11.4% and July CPR of 11.6%. With the increase in speeds consistent with seasonality, aging profiles, and this shaped the interest rate curve. Our aggregate credit book was approximately $1.6 billion at quarter end fair market value. Performance of our credit book continues to be in line with our investment underwriting. Valuations for credit RMBS and CMBS were modestly weaker quarter-over-quarter on lower overall trading volumes. Unlike other periods of elevated volatility markets for our risk assets generally remained orderly and selling was very modest during the quarter. Through the second quarter, we invested $25.5 million approximately in subordinated bonds of a new issue all day non-agency MBS with $14.2 million of associated financing and received favorable 40 Act treatment on the purchase. This allowed MITT to satisfy the 40 Act requirements without increasing our agency exposure. The collateral backing these bonds was composed of legacy, residential mortgage loans which had experienced favorable pay histories. Securitization, term funding facilities and CRE credit investments do necessitate higher upfront transaction expenditures to finance and to assemble these assets going forward. Turning now to Slide 12, we provide an update on our financing and duration gap, we currently have 37 finance counterparties, funding continues to be plentiful and stable for the company with the acceptance of our wholly owned subsidiary into the FHLB of Cincinnati. We will have additional, stable and flexible financing from a well-regarded counterpart. MITT’s duration gap decreased modestly from 0.62 years 0.45 years quarter-over-quarter due to the addition of treasury short positions and interest rate swaps. Overall, the portfolio and liquidity position should help us navigate a wide range of interest rate, credit spread and credit market movements. As to hedging and interest rate sensitivities, that’s laid on the next slide. We continue to adjust our hedge positions in response to changes to our portfolio, U.S. economic conditions and potential normalization of U.S. monetary policy. Our hedge book continues to be set up with a modest bias towards a flattener, which we believe will perform well should the Fed begin to tighten. I would like to wrap up by saying we believe our portfolio remains well positioned for today’s market environment and the future. And with that, I will turn the call over to Brian to review our financial results.
Brian Sigman: Thanks, Jonathan. In the second quarter, we reported core earnings of $18.6 million or $0.65 per fully diluted share versus $17.9 million or $0.63 per share in the prior quarter. At June 30, we had a positive $0.04 retrospective adjustment to our premium amortization on our agency portfolio. Stripping this out, core would have been $0.61. Overall, for the quarter, we reported a net loss available to common stockholders of $1.5 million or $0.05 per fully diluted share. The $0.65 of core earnings was offset by net and unrealized losses $0.71 per share. The $0.71 per share loss was primarily due to $0.61 of net realized and unrealized losses on our agency, secured and derivative portfolio, $0.10 of net realized and unrealized losses on the credit portfolio. At June 30, our book value was $19.21, a decrease of $0.66 or 3.3% from last quarter. This decrease is mostly attributable to the losses I previously mentioned mainly regarding the agency portfolio offset by the $0.05 core earnings that was in excess of our $0.60 common dividend. To give you a better sense of our current $3.2 billion portfolio, I would like to highlight a few more statistics. As described on Page 4 and 5 of our presentation, the portfolio at June 30, 2015 had a net interest margin of 2.68%. This was composed of an asset yield of 4.64% offset by repo and hedge cost of 1.14% and 0.64% respectively for the total cost of funds of 1.78%. Our net interest margin decreased mostly as a result of the removal of treasury long positions and the addition of some treasury short positions, which increased our cost of hedging. We do not have any forward starting swaps and therefore our swap costs do reflect the true cost of our swaps. On the funding side, we continue to be active. We are pleased to announce that a wholly owned sub of MITT has been accepted by the FHLB of Cincinnati. There will be significant potential benefit to this membership. Notably, greater financial flexibility due to access to reliable low-cost, flexible term, same day funding and we will now have diversified our counterparty risk with a AAA rated GSE execution as well as an alternative source of agency MBS financing. We plan on funding with the FHLB within the next couple of weeks. Our liquidity remains strong and at quarter end, we had total liquidity of $193 million composed of $74 million of cash, $53 million of un-levered agency hopeful securities and $66 million of un-levered agency IO securities. That concludes our prepared remarks and we would now like to open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Trevor Cranston from JMP Securities. Trevor, please go ahead.
Trevor Cranston: Hey, thanks. First question, I want to follow-up on your comments that the agency portfolio has kind of constrained your performance the last couple of quarters and that you plan to continue reducing exposure to the basis. Can you comment on how much room you have to take down the agency portfolio from here outright or is that something that’s going to really depend on being able to add other hopeful type assets to the balance sheet?
Brian Sigman: So, it’s Brian. We don’t give out specific amounts of cushion, but we do have some excess cushion on the 40 Act as it currently stands. And as Jonathan mentioned, we are actively looking at ways and different types of assets that satisfy the 40 Act, which would replace the current agency. So, we can do really both. We can bring down the agency and eat into some of our cushion as well as replace it with other 40 Act assets.
Trevor Cranston: Okay, got it. And with respect to the FHLB membership, I think you said you are planning to access the funding within next couple of weeks, can you comment on kind of which part of the portfolio, you would be using that financing for currently. And also maybe comment on whether or not that financing kind of opens up any new asset classes that you might find attractive now that you hadn’t previously with street financing only available? Thanks.
David Roberts: Yes. I think at first you will see us probably in stores moving some of our agency securities over, the cost of financing is cheaper, so we are going to see probably a small pick up to core just from lower financing costs. And I think going forward we will see the ability to enter into some new spaces or finance some of our credit portfolio. We think that as Jonathan mentioned it just opens up a whole host of opportunities. Unfortunately we all know that there is I think say ruling that’s still out there. So I think we will have to proceed with some caution before getting into it too heavily and hopefully that will be the result during the next couple of months.
Trevor Cranston: Okay, thank you.
David Roberts: Thanks.
Operator: And our next question comes from Mike Widner from KBW. Mike, please go ahead.
Mike Widner: Hi, thanks. Good morning guys. So, let me follow-up on the new securitization I will say non-agency thing. Just wondering if you can talk a little bit more about that and in particular, I mean what’s different about this one that qualifies for more favorable 40 Act treatment. And is there – could you give us I guess shelf and a ticker sort of just to identify which one just seems like something new and different?
Jonathan Lieberman: So, with respect to the actual securitization, the technology has been in existence for many, many years. We were able to negotiate the appropriate control rights as part of the documentation with respect to the loans that satisfy council and our accountants that we are actively involved in any sort of loss mitigation effort and that allowed us to treat the asset favorably as a whole pool of 40 Act for the securities that we have retained, purchased and the associated financing with respect to those assets. With respect to the shelf, it was off of a city shelf. And I don’t have the moniker, but we could follow up with you on the actual ticker.
Mike Widner: Okay, got it. I appreciate that. And so just to be clear then, so it’s – due this you have to have sort of controlling interest and then if that’s the – if I understand that right and then I guess my question would be then do you have to consolidate for GAAP purposes the whole thing on your balance sheet or just report it just kind of – just the equity piece?
David Roberts: Yes. In this case and every case really it is if you look at it on its own, but in this case we do not have to consolidate on the GAAP balance sheet.
Mike Widner: Okay. So there is no relationship between whether it’s considered a qualifying asset…?
David Roberts: No.
Mike Widner: Okay.
David Roberts: I mean, some of the features overlap, so you have to look at all of them. But in this case it wasn’t the control that we have received that we needed for 40 Act purposes, do not force us to consolidate for GAAP which is also nice.
Mike Widner: Yes, that’s handy. And then I guess not to belabor the topic or the question because it’s relatively small asset, but I mean this is something you needed to do, like this isn’t something you could go out and do aftermarket and just go out and buy it, it sounds like it’s something you had to do sort of upfront to make sure that provisions were made in the securitization so that you had controller or could you do this on an ongoing basis by just being selective about sort of which parts of it you purchase if that question makes sense?
David Roberts: It has to be done at an inception of a securitization and it has to be documented in the original PPM or prospectus.
Mike Widner: Got it.
David Roberts: As well as be incorporated into the indenture for the legal governance.
Mike Widner: Got it. So, it’s a non-trivial exercise. So, I mean would you envision being able to do a lot more of this or is it sort of kind of something that will happen periodically on kind of an ad-hoc basis?
Jonathan Lieberman: Our expectation is that we will – we will hopefully do more of it, it is ad-hoc and we see the right collateral packages. We do control some assets currently in MITT that will ultimately be restructured potentially in a manner that gives us good 40 Act as we collapse potentially as some securitizations or some assets that we may be able to procure.
Mike Widner: Excellent. Well, thank you guys. I appreciate the comments as always.
Operator: [Operator Instructions]
Karen Werbel: Okay. Well, thank you very much for joining us and we look forward to speaking to you next quarter. I am sorry there is another question.
Operator: Our next question comes from Douglas Harter from Credit Suisse. Douglas please go ahead.
Douglas Harter: Thanks for taking the question. In the past you guys have invested in ABS, given what’s going on in the student loan ABS market is that an opportunity for you guys?
David Roberts: Yes. We have invested ABS and I believe in the first quarter we did out a little bit of ABS in the consumer space. We are typically investing in the more subordinated securities. The yielder parts of the capital structure. In the case of student loans, a lot of the dislocations occurring in the senior bonds in the AAA or the AA securities and they are moving from let’s say LIBOR 40 to LIBOR plus 125 and unfortunately just not yielding enough and not enough to stress at least at this point in time for that asset class and for those specific positions to be attractive and to be beneficial for MITT.
Douglas Harter: Great. Thank you.
Operator: And we have no further questions at this time.
Karen Werbel: Alright. At the risk of interrupting anyone, I again will say thank you very much for joining us. We look forward to seeing you next quarter and wish everyone a good rest of the summer. Thank you.